Operator: Greetings and welcome to Diana Shipping Inc. 2022 Fourth Quarter and Year End Conference Call and Webcast. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Edward Nebb, IR Advisor. Please go ahead.
Edward Nebb: Well, thank you, Brock and thank you everyone who is joining us for the Diana Shipping, Inc. fourth quarter year end conference call. With us today from the company are, Semiramis Paliou, Chief Executive Officer; and in a moment she will introduce the other persons present from the company. And so without further ado, I will turn it over to Ms. Paliou 
Semiramis Paliou : Thank you, Ed. Good morning, ladies and gentlemen, and welcome to Diana Shipping Inc.'s fourth quarter and end of the year 2022 earnings call. My name is Semiramis Paliou, the company's CEO, and it is an honor to have the opportunity to present to you today. Joining me today this morning, we have Mr. Anastasios Margaronis, President of Diana Shipping; Mr. Ioannis Zafirakis, CFO, and Chief Strategy Officer; Mr. Eleftherios Papatrifon, Director of Diana Shipping Inc. and Ms. Maria Dede, the company’s Chief Accounting Officer. Before I begin, I kindly ask everyone to review the forward-looking statements applicable to today's presentation, which can be found on Page 4 of the accompanying fourth quarter and end of the year presentation. 2022 has been another profitable year for our company, it has also has been a very busy and productive one. While market conditions have become less robust, over the last quarter and into 2023, our disciplined chartering strategy has allowed us to continue generating attractive free cash flows. As a result, not only have we announced another cash dividend for this quarter, but for the first time since our public listing, we have also provided guidance of our intention to declare cash dividend of at least $0.15 per share for the next three quarters.  Additionally, as a result of prudent and creative sale and purchase activity, the company announced today another special dividend in kind in the form of OceanPal Series D Convertible Preferred Shares. We believe that the combination of the cash and the in kind dividend is a true testament of our will to keep rewarding our shareholders when conditions are favorable.  Turning to Slide 5, I will review with you the company snapshot as of today. Once again, we find ourselves owning and operating an expanded fleet of 41 vessels in the water, with a carrying capacity of approximately 4.7 million deadweight tons. As already announced, our fleet will increase by 1 to 42 vessels by the end of the second quarter 2023 as we expect to take delivery of one more Ultramax in April. Our fleet utilization has remained at very high levels coming in at 98.9% for the fiscal year 2022. At the end of the fourth quarter, we employed 1020 people at sea and ashore. Moving on to Slide 6 and 7, I will go over the highlights of the fourth quarter and recent developments. More specifically, in November of this year, we declared a cash dividend of $0.175 per common share, or approximately US$17.3 million in aggregate for the third quarter of 2022 and a special stock distribution of all shares – Series D Convertible Preferred Shares of OceanPal Inc. held by the company. In December, we concluded the sale of DSI Andromeda to an unaffiliated Japanese third party for the amount of US$29.85 million, and bareboat chartered-in the vessel for a period of 10 years. Also in December, and in preparation of the just mentioned transaction we made a prepayment of US$22 million for the release of the mortgage DSI Andromeda.  During the same month, the company took delivery of two Ultramax dry bulk vessels, DSI Pegasus and DSI Altair.  And finally, before the end of the year, the company released its third ESG report for 2021, a copy of which can be found on our website. Referring to our more recent developments, in January the company took delivery of one more Ultramax dry bulk vessel, the motor vessel DSI Aquarius successfully concluding the STH fleet acquisition transaction.  Also the company signed a memorandum of agreement for the sale of motor vessel Aliki for the price of US$15.08 million to an unaffiliated third-party.  In February 2023, the company signed a memorandum of agreement for the sale of Melia, for an aggregate price of US$14 million to OceanPal Inc., the amount of US$4 million was paid in cash upon signing of the memorandum of agreement and the remaining amount was paid upon the delivery of the vessel in the form of 13,157 Series D Convertible Preferred Shares issued by OceanPal.  Also in February, we signed a memorandum of agreement for the purchase of one more Ultramax dry bulk vessel, the motor vessel Nord Potomac, for a purchase price of US$27.9 million. The vessel is expected to be delivered in early April. In February, we entered into a term sheet for a senior secured term loan facility with a major European bank of up to US$100 million for the refinancing of 9 vessels, which is subject to concluding customary documentation.  As announced, we have declared a cash dividend of US$0.15 per common share for the fourth quarter of 2022. We intend to maintain this dividend of $0.15 for the duration of 2023. In addition, we declared a special stock dividend in the form of 13,157 Series D Convertible Preferred Shares of OceanPal Inc. held by the Company, the payment of which remains subject to certain regulatory approvals in connection with the distribution.  Lastly, as of February, 16, we have secured 68% of the remaining ownership days of 2023, securing approximately US$169.2 million of contracted revenues and have also secured approximately US$39.5 million of contracted revenues or 14% of the available ownership days for the entire year of 2024. Ioannis will provide later on a more detailed analysis of our cash flow generation potential based on the current market environment.  Turning to the financial highlights of the fourth quarter of 2022. On Slide 8, we find ourselves as of December 31, 2022, with a cash and cash equivalent position of US$143.9 million, including restricted cash and time deposits as against US$126.8 million as of December 31, 2021. Our debt net of deferred financing costs stood at US$663.4 million at the end of the fourth quarter of 2022 as against US$423.7 million at the end of 2021. Our time charter revenues for the fourth quarter of 2022 amounted to US$75.7 million, as against US$68.8 million for the same period of 2021.  Lastly, our earnings per share for the fourth quarter of 2022 came in at $0.27 versus $0.48 per share for the same period of 2021. Ioannis will go over these numbers in more detail further on in the presentation.  Moving on to Slide 9. We find a summary of our recent chartering activity. Consistent with our disciplined chartering strategy, we have continued chartering our vessels in a staggered manner and have secured profitable time charters for 17 vessels of our fleet since our last earnings presentation on November 17, 2022.  More specifically, we have charted 5 Ultramax vessels at a weighted average daily rate of US$14,000 and for remaining average period of 284 days per vessel. We also have charted one Kamsarmax, four Panamaxes and three post-Panamax vessels at a weighted average daily rate of US$14,350 and for a remaining average period of 296 days per vessel. And two Capesize and two new Kamsarmax vessels at a weighted average daily rate of US$17,622 and for remaining average period of 532 days per vessel. We intend to keep chartering our vessels in a similar way by staggering maturities, locking in cash flows and positioning us in a manner that allows us to participate in the market in a balanced way. I now turn it over to Ioannis to go over the financials in more detail.
Ioannis Zafirakis : Thank you, Semiramis. Clearly, this has been a great year and a nice quarter. Our time charter revenues for the quarter stood at US$75.7 million, compared to US$68.8 million at the same quarter in 2021. The time charter equivalent rate was approximately the same as for the last quarter of 2021. That was US$21,000 approximately compared to US$21,300 in 2021. Moving to the next slide. Slide 11, we can see the year's results. And again, clearly, that was a very profitable year with US$113.3 million of net income attributable to common stockholders, compared to US$51.6 million in 2021.  For the full year, the time charter equivalent rate stood at US$22,735 per day. We remind you that the same rate in 2021 was US$15,759 per day. We want also to mention here that we have managed to keep our weighted average age to only 10.2 years, reduced from the previous year, which was at 10.4 years for our fleet.  Slide number 12. Our earnings per common share diluted was for the last quarter of 2022 equal to US$0.27 compared to US$0.48 in the same quarter of 2022. However, just to clarify that the quarter in 2022 included gain in 2021, sorry – included a gain from OceanPal spinoff, which was equal to approximately US$0.15, which is more or less the current difference. Slide number 13. As we have already mentioned, 2022 has been a very profitable year with a net income of US$113.2 million, compared to only US$51.6 million of the previous year. That is equal to US$1.36 per share, compared to only US$0.67 per share.  At this stage, I would like to remind everyone that the last time we were close to this number, and we had US$1.33 per share net income, earnings per share. That was back in 2011 and at that time, our stock price was more than US$8. I would like to remind – and also, I would like to stress the fact that we were not paying a dividend at a time when we were trading at US$8 with earnings per share of US$1.33.  Moving to the next slide, Slide number 14. For another year, we have kept our balance sheet at a very healthy position. You can see that the cash and cash equivalents and time deposits are at US$143.9 million and our total debt is only US$663.4 million. The net debt position is at US$528.5 million.  Slide number 15. Looking at our debt amortization profile, we have kept it very manageable. With the latest agreement of the new $100 million credit facility, the maturity profile has no maturity for 2023, and we have very little for 2024.  Of course, by now, you know our style and that we are always proactive in that respect and we will not wait until the last moment to change that picture for 2024 or even 2026. Slide number 16. Looking in addition to the previous slide, the debt balance proposition is also very important for someone to understand. Our debt structure is comprised of a senior unsecured bond sale and leaseback deals and secured loan facilities. Our loan facilities, just for your info, recurring margin of approximately 2.24% over LIBOR.  If you think about where the LIBOR is today, you can clearly see that we have managed to hedge the increasing interest rate environment with the sale and leaseback deals, which they have an average fixed cost of only 4.9% that is even lower than the loan facilities that we discussed earlier. And looking at the current LIBOR rate, given the unsecured bond is very competitively priced.  Slide number 17, our breakeven costs also have been kept at very low levels at approximately US$14,200. If we look at our average time charter rate of fixed revenues for 2023, which is at US$18,000 plus and 2024 close to US$19,000, this is a very manageable breakeven. Of course, we have plenty of days to fix for 2024, but still, this is something notable.  Slide number 18, this is the usual graph that depicts the essence of our chartering strategy, which is exactly the same since 2005. This is a strategy that is proven – it proves and that it provides the best risk-reward ratio for our revenue. The specific number we have already mentioned on the previous slide about the secured revenues, the days that they are fixed and so on forth, there is no need to mention again. Slide number 19. If we look – if we use the FFA rates that were published in February 16, certainly, they are not on the high side. It looks that as if we can have a cash flow surplus of US$34.2 million for 2023 and US$13.6 million for 2024. And with that happy note, I will pass the call to Anastasios Margaronis for the dry bulk market outlook. Anastasios?
Anastasios Margaronis : Great. Thanks, Ioannis, and welcome to all the participants of this first earnings conference call of 2023. Slide 20. The bulk shipping market started the year in the same mood as it was at the close of 2022. Macroeconomic factors and geopolitical developments had their influence on the freight market and produce certain extreme results, as will be mentioned below.  The BDI, the Baltic Dry Index, which has reached a high of 3,368 on 23rd May 2022, closed yesterday, February 21 at US$594. Similar moves to place with the Baltic Cape Index, which dropped from 4,602 in May last year to 303 yesterday.  The Baltic Panamax Index came down from 3,416 in March 2022 to 843 yesterday. Period time charter employment came down as well, but certainly not as much as the spot market. From just over US$30,000 a day in the first half of 2022 for one to two year employment contracts, Capes commanded around US$15,000 per day as related fixture reports for similar period employment.  Ultramaxes showed similar declines in 12-month employment daily earnings dropping from over US$32,000 a day in the first quarter of 2022 to around US$14,000 a day this month. The Panamax Kamsarmax 12-month time charter rate dropped from US$31,000 per day in 2022 to US$14,750 per day recently.  Let's have a quick look at what may have caused the apparent collapse in spot market earnings, particularly of large bulk carriers. Two of the most obvious and visible reasons. First has been the collapse of Brazilian iron ore exports in January and early February of this year due to exceptionally heavy seasonal rainfall that have been reducing volumes since late 2022. These adverse weather conditions have contributed to the building up of Capesize capacity in Brazilian loading ports in early February. Congestion in Brazil has up to that point dropped by about 11% during last year.  The second reason is what we just mentioned, that is port congestion. According to Clarksons, in early 2022, worldwide port congestion was estimated to have absorbed an extra 5% of the bulker fleets. This congestion now appears to have, to a large extent, disappears except for some localized congestion, as I've mentioned above in Brazil. Global macroeconomic headwinds and other factors such as the ongoing challenges in the Chinese economy also played a role.  Before leaving this slide, Slide 20, even though we, at Diana, are certainly not charted by looking at the pattern of traps and peaks, all the dry bulk Baltic Exchange indices appear to be set for a bottoming out with indices about to turn positive. The question as usual, remains exactly when this will happen. On Slide 21, we look at some macroeconomic developments. Latest estimates from the IMF provide forecast of world GDP growth of about 2.9% for this year and 3.1% for 2024. The Chinese economy is expected to grow by 5.2% this year and 4.5% in 2024. Obviously, these figures can change for various reasons, as we have seen in the past. The U.S. economy is expected to grow by 1.4% this year and by just 1% in 2024. The Eurozone economies are basically expected to stagnate this year with growth coming in at just 0.7% while next year, you should see the economies of the area grow by 1.6%.  Let's see how these growth figures might affect demand supply balance for bulk carriers going forward. Starting with demand, according to Clarksons, after dropping by about 1.9% in terms of ton miles in 2022, overall, bulk trade growth is currently expected to increase by 2% in 2023.  Last year's drop was primarily caused by China importing about 4% fewer bulk cargoes than in 2021. The minor bulk trades expected to be negatively influenced by weak global economic growth. Volumes are expected to grow by just 1% this year. More importantly, though, Clarksons reported worldwide steel production is expected to remain steady this year, compared to 2022, which will come after a drop of about 30 million tons in 2022 compared to 2021. This trend will have a profound effect on demand for the shipments of iron ore and coking for metallurgical coal this year.  Seaborne iron or trade is expected to remain steady this year with stronger trends appearing in the second half of the year. In 2024, this trade is expected to grow by about 1% year-on-year.  Thermal coal is expected to increase by 2% this year on the back of European demand. Coking coal, demand is also expected to lead to 2% growth in seaborne trade this year based on increased demand from emerging economies and India. The grain trade is projected to see a rebound this year of about 5% after significant disruptions to Ukrainian exports in 2022 had a negative impact on this trade. In 2024, this trade is expected by Clarksons to increase by a further 4% based on normalized Ukrainian exports and increased demand from developing regions. Turning to Slide 22, the bulker supply projections appear to be positive with the order book still near its 30-year low at 7% of the existing fleet. About 60% of the Capesize and Panamax, Kamsarmax order book will be delivered this year.  From 2024 onwards, deliveries dropped dramatically. This has led Clarksons to predict that fleet growth is expected at about 1.8% this year, while the impact from emission regulations could absorb some extra supply. Clarksons estimate that compliance with EEXI, the Energy Efficiency Existing Ship Index and the CII, the Carbon Intensity Index regulation could absorb between 2% and 2.5% of available tonnage in the two-year period of 2023, 2024 through slower speed and retrofit time. Looking at 2024, Clarksons foresee stronger ton mile demand of about 2% or higher depending on the robustness of future GDP growth. At the same time, supply is estimated to increase by less than 1% with emissions regulations continuing to have the effect on supply as referred to above.  Newbuilding orders for bulk carriers of all sizes were down in 2022 by about 56% year-on-year. Prices have softened slightly compared to last year. Looking quickly at scrapping, according to Clarksons, the dry bulk scrapping is expected to be about 16 million deadweight this year due to weaker market conditions and the introduction of new environmental regulations, such as the CII as I mentioned above and the EEXI.  From this total, 4.2 million deadweight are expected to be capes and about 4.5 million Panamax, Kamsarmax. Clarksons prediction for demolitions in 2024 stands at just under 22 million deadweight. Most of these scrap candidates will be vessels whose compliance with the new environmental regulation proves to be too costly for owners to bear. Finally, turning to the outlook now for our industry. We agree with Clarksons that 2023 will be a year with more moderate market conditions than seen at the peak of 2022. Demand is still facing macroeconomic headwinds. Then the Chinese economy is recovering slowly from the drop in GDP growth seen at the latter part of the last year. Furthermore, there are still some direct impacts from the Russian Ukrainian contract. Finally, port congestion, which has been absorbing about 5% of the bulker fleet in early 2022, as mentioned earlier has eased considerably thus releasing plenty of tonnage at the seasonal low of the dry bulk market. However, improvements are expected in the dry bulk market, mainly from China's post-COVID reopening and the stimulus programs introduced by the Chinese government. Furthermore, macroeconomic headwinds are expected to start easing later this year and environmental regulations are expected to support the supply side.  According to Braemar, Brazil is expected to have a record soybean harvest this season. Braemar expects strong increases in soybean exports from Brazil to China, which will certainly support bulk carrier freight rates, particularly that for Panamaxes, which will carry most of the tents coming up for soybean shipments. As we have mentioned repeatedly in the past, Diana's business strategy is not based on specific forecasts about the future trends of the freight market and of asset values. This is not about to change by the fact that we, as a company, find reasonably the forecasts made by several shipping analysts that there are good chances for the dry bulk market to start recovering from its present week set from the middle of 2023 onwards and well into 2024. In this environment, we will continue to protect the integrity of our balance sheet and any fleet expansion or renewal, as well as our dividend policy will be handled in such a way so as not to predict this strength. I will now pass the call back to our CEO, Semiramis Paliou, who will summarize the highlights of the company's business plan, its goals and aspirations. Thank you.
Semiramis Paliou : Thank you, Stacy. So before we open the call up to questions and answers, I would like to provide a summary of what I believe to be the most important points presented today. The company has been distributing substantial cash and in-kind dividends since November 2021 and have additionally provided clear guidance of its intention to declare a cash dividend of US$0.15 per share per quarter for the next three quarters. . At the same time, the company is maintaining a strong balance sheet allowing it to entertain creative growth and fleet renewal opportunities. Also, the company remains committed to its long-term strategy of providing a relevant stability in a cyclical business with an emphasis on maximizing shareholders' value. Now I will turn it over to the operator to commence the questions-and-answer session.
Operator:
Semiramis Paliou : Thank you all for joining us today, and we look forward to talking to you again in our next financial results call. Thank you very much.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.